Operator: Good morning, ladies and gentlemen, and welcome to the Franco-Nevada Corporation 2021 Year-End Results Conference Call and Webcast. This call is being recorded on March 10, 2022. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question and answer session where you may ask questions through the phone line or webcast. If joined by webcast, you may submit written questions for the Q&A session at any time during this call. [Operator Instructions] And I would now like to turn the conference call over to your host, Ms. Bonavie Tek, Vice President of Finance. Please go ahead.
Bonavie Tek: Thank you, Pam. Good morning everyone. Thank you for joining us today to discuss Franco-Nevada's 2021 year-end results. Accompanying this call is a presentation, which is available on our website at franco-nevada.com, where you will also find our full financial results. The presentation is also available to view on the webcast. Paul Brink, President and CEO of Franco-Nevada, will provide some introductory remarks; followed by Sandip Rana, Chief Financial Officer of Franco-Nevada, who will provide a brief review of our results. This will be followed by a Q&A period. Our full executive team is available to answer any questions. Participants may submit questions by telephone or via the webcast. We would like to remind participants that some of today's comments may contain forward-looking information and we refer you to our detailed cautionary note on Slide 2 of this presentation. I will now turn the call over to Paul Brink, President and CEO of Franco-Nevada.
Paul Brink: Thanks, Bonavie, and good morning. I'm delighted to be reporting Franco-Nevada's best-ever annual results, both top line and bottom line. Our diversified portfolio served us well with good contributions across precious metals, energy and iron ore, driving a 27% increase in revenue to $1.3 billion. Precious metal growth was driven by an increased contribution from Cobre Panama performance by Antamina and the first year contribution from the Condestable acquisition. And oil prices spiked during the year and we generate strong revenues from our iron ore holdings. Energy prices recovered from their pandemic lows in 2020 that along with the newly acquired Haynesville natural gas royalties saw our energy revenue more than double. The benefit of our top line business is most apparent during periods of cost inflation. Our revenue growth translated directly into expanded margins and record earnings. Our efforts on ESG continue to be well received. We recently had our top rating reaffirmed by Sustainalytics, and we're once again highly ranked in the Global Mail Annual Governance ratings. We also made progress on our diversity goals in 2021 and through promotion of increased the diversity of our senior management. The growth in our business prompted our 15th consecutive annual dividend increase announced this January. The 6.7% increase takes our quarterly dividend to $0.32 per share in U.S. dollar terms. Our Board also moved their annual dividend review earlier in the year. So, the increase will for the first time apply for each of our full quarterly dividends this year, an effective 10% annual dividend increase. Turning to outlook. It goes without saying with the terrible war in Ukraine, markets and commodity prices are very volatile, and there's a wide range of revenue outcomes. After the 27% growth in 2021, we expect a slightly lower production profile in 2022. The outlook reflects an expected lower contribution from Guadalupe or normalized grades at Antamina and a dip in the grade at Antapacay for the year before recovering again in 2023. At the same time, prices for gold, PGMs, nickel, energy, and iron ore, are currently all high and if sustained, will boost revenues for the year. We expect our growth to continue in 2023, with the largest driver being Cobre Panama, first Quantum plans to expand the mine from the current 85 million ton per annum and achieve 100 million ton per annum by the end of 2023. We're guiding to roughly 10% organic growth in our business by 2026 over 2021 levels, with a similar commodity mix between precious metals and diversified over the period. Growth will come from mine expansions and new mines. Expansions are expected at Detour, Tasiast, Stillwater and Vale’s iron ore operations, along with Cobre Panama. Of the new mines expected to contribute, Salares Norte, Seguela and Greenstone already under construction. Strong commodity markets inevitably drive organic growth in our portfolio; along with a deep portfolio of royalties on gold exploration properties, we have royalties on what are likely some of the next generation of copper and nickel mines. Our business development team is very active, principally with the financing of new gold mines but also on diversified assets. To wrap up, I'm proud of what our team has achieved resulting in yet another record year that builds on the track record of Franco-Nevada. Over to you, Sandip.
Sandip Rana: Thanks, Paul. Good morning, everyone. As mentioned by Paul, Franco-Nevada ended 2021 with a strong fourth quarter, resulting in record financial results for the full year. Our royalty and streaming portfolio continued to perform well with the Company benefiting from its asset and commodity diversification during the year. As you turn to Slide 3, you can see how the Company performed against the guidance that was issued for 2021. The initial guidance provided by the Company for the year was 555,000 to 585,000 GEOs for the mining assets. The range was increased and then narrowed as the year progressed with our guidance in November being 590,000 to 615,000 GEOs sold. I'm proud to say that the Company achieved near the top end of this range with 610,981 GEOs sold for 2021. With respect to our energy assets, the Company had guided to revenue of $115 million to $135 million for the year using a $55 per barrel WTI oil price. As you know, energy prices rebounded strongly in 2021 from the lows of 2020. We increased our guidance a number of times during the year with the most recent paying $195 million to $205 million. We are pleased to report that our actual energy revenue for the year was $210 million, exceeding the top end of the revenue range. As you will have seen with our press release issued yesterday beginning in Q4 2021 and going forward, we will be including energy revenues and our gold equivalent ounce total. We believe this provides a more comprehensive measure of our business and would be useful to investors to evaluate the full scale of our portfolio. On Slide 4, we highlight the gold equivalent ounces sold, which does include energy GEOs for the last five quarters as well as the previous five years. The portfolio has performed well with overall growth for each of the time frames presented. The Company sold 182,543 GEOs in fourth quarter 2021, compared to just over 162,000 GEOs in Q4 2020. The 12% increase was a result of strong performance from our diversified assets. We benefited from the addition of the Vale royalty as well as the rebound in energy revenue. For the quarter, we had strong performance from Cobre Panama and Candelaria as they delivered higher GEOs than expected, while Antapacay and Guadalupe were weaker delivering less GEOs than prior year. The revenue for the Hemlo NPI was negligible for the quarter as the operation continued to produce less ounces from our royalty lands and incurred higher costs. Net profit interest royalties do have leverage to rising commodity prices, and we do think there is the possibility for the Hemlo NPI to rebound in 2022, given where current gold prices are. With respect to the iron ore assets, we recorded 8,600 GEOs in the quarter, compared to 4,778 in Q4 2020, the increase being the addition of the Vale royalty. We will find out later this month what the actual royalty payment will be for the Vale assets for the last six months of 2021, and will record any adjustment required in first quarter of 2022. The strong fourth quarter closed out the year with 728,237 GEOs sold for 2021, a new record for Franco-Nevada and a 27% increase over prior year. Precious metal GEOs represented 76% of total GEOs for the quarter and 77% for the full year. The GEOs for the full year do include 117,256 GEOs related to the energy assets. 2021 saw continued positive momentum in commodity prices. As you see on Slide 5, all commodities were higher for the year, with iron ore and energy increasing significantly. However, for the quarter, other than energy prices in platinum, precious metal prices averaged lower than Q4 2020. Slide 6 highlights our total revenue and adjusted EBITDA amounts for the 3 and 12 months ended December 31, 2021, and 2020. As you can see from the bar charts, revenue and adjusted EBITDA has increased year-over-year. The Company recorded $327.7 million in revenue in the fourth quarter and $269.8 million in adjusted EBITDA, a margin of 80.3% was achieved. Fourth quarter continued the strong contribution from the energy assets as revenue increased from $27.8 million a year ago to $62 million this quarter. The increase was due to the rebound in energy prices from a year ago as well as the contribution from the Haynesville gas acquisition. For the full year, the Company recorded $1.3 billion in revenue and $1.09 billion in adjusted EBITDA, both records for the Company. As you turn to Slide 7, you will see the key financial results for the Company. There are a lot of financial records for the full year, which are highlighted in gold. As mentioned, with the increase in commodity prices, the Company had strong revenue growth for the quarter and year. And with the margin generation of our business model, there was a significant increase in adjusted EBITDA and adjusted net income. On the cost side, we did have an increase in cost of sales as more stream ounces were delivered and sold compared to 2020. In fact, stream GEOs increased 19% year-over-year. Depletion was also higher at $299.6 million versus $241 million a year ago due to the increase in GEO sold, a large portion being from higher depletion stream assets. In addition, we had additional depletion related to the Condestable, Vale and Haynesville acquisitions. For the full year, adjusted EBITDA was $1.09 billion, a 30% increase over 2020 and the first time adjusted EBITDA had surpassed $1 billion. Adjusted net income was $673.6 million, a 30% increase over 2020, while adjusted net income per share was $3.52, also a 30% increase over full year 2020. Slide 8 highlights the continued diversification of the portfolio, which we consider one of the strengths and differentiators of Franco-Nevada. As shown 77% of our 2021 revenue was generated by precious metals. The geographic revenue profile has revenue being sourced 91% from the Americas, with Canada and the U.S. being the largest. With respect to asset diversification, Cobre Panama was our largest revenue generator at 18% of total revenue for the year, followed by Antapaccay in Candelaria at 9%. Cobre Panama is the only asset greater than 10% of revenue. And the last chart highlights our operator diversity. Our largest exposure to revenue being generated by any one operator is 18%, which is First Quantum who operates Cobre Panama. We are fortunate to have royalties and streams on many properties mined by some of the most ruble mining companies in the world. Slide 9 illustrates the strength of our business model to generate high margins. For 2021, the cash cost per GEO is essentially cost of sales divided by gold equivalent ounces, and it is $245 per GEO. This compares to $277 per GEO in 2020. This amount will fluctuate depending on the mix of royalty versus stream GEOs, including mining and energy. But as you can see, at current average gold prices, the Company generates significant margins. In our rising commodity price environment, we expect to benefit fully as the cost per GEO sold should not increase significantly. We consider our cost structure to be essentially fixed. The other cash cost component for the Company besides the cost of sales is our corporate administration costs. We like to stress the strength of our business model and the scalability. The chart on Slide 10 clearly illustrates our focus on being as cost efficient as possible in managing this business. Here, we've highlighted our quarterly revenues and our quarterly corporate administration expenses since our IPO. As you can see, revenues have grown significantly over the period shown while corporate costs have remained fairly stable. For 2021, corporate administration, including stock compensation expense, was $30.8 million or less than 3% of revenue. Management believes we can continue to add to our portfolio and grow our business without adding significant overhead to the Company. 2021 was a record year for Franco-Nevada as it built on the momentum from another record year in 2020. As seen on Slide 11, for 2022, we are guiding to slightly lower GEOs sold with the range being 680,000 to 740,000 GEOs sold. As mentioned previously, this does include our energy revenues being converted to gold equivalent ounces. Of this total, we are guiding to 510,000 to 550,000 precious metal GEOs for the year. The balance would be GEOs from our diversified assets, of which we expect energy to account for 75% of diversified GEOs in 2022. The overall main drivers for GEOs year-over-year are for precious metals. We do expect higher GEOs from Tasiast and Sapeka. We have similar deliveries as 2021 for Cobre Panama before it ramps up in 2023. We are anticipating less mining on our land at Guadalupe. And for Antamina and Antapaccay, we are assuming a decrease in GEOs delivered based on lower grades per mine plant. We do expect a rebound for an Antapaccay in 2023. Our guidance has been calculated using $1,800 per ounce for gold, $23 for silver, $1,000 for platinum, $2,100 palladium and $125 per ton for 62% iron ore. Obviously, these prices are lower than current prices; however, we would not expect our precious metal geo sold range to change significantly if current pricing was used. On the energy side, we're using $85 per barrel WTI and $2.75 Mcf for natural gas. This provides a range of 125,000 to 145,000 GEOs from our energy assets. As we look forward to 2026, we're proud of the built-in growth that the Company already has in place. Our outlook for 2026 is 765,000 to 825,000 GEOs sold. Of this range, precious metals will be 570,000 to 610,000 GEOs. Main contributors will be Cobre Panama ramped up to 100 million tons per year. As well, we will benefit from the expansions at Stillwater Detour and Tasiast, and as Paul mentioned, a number of new mines that are either under construction or we expect to be built by 2026. We do expect McCreedy West and Sudbury to remain in production at 2021 levels until 2026. And I'd like to note that Mine way solution will reach its cap in 2024. On the diversified GEOs, we do expect an increase in GEOs for our Vale royalty as attributable production should increase as well as we assume Rosemont will be in production by this time. For the energy assets, we have assumed a slight increase in production over the next five years, resulting in a small increase in GEOs. Also, we have not included any production or revenue associated with the remaining $92 million to be funded for the royalty acquisition venture with Continental. We view similar commodity prices as we did for 2022. Overall, when you look at the outlook for GEO sold, the Company has over 10% built in organic growth to 2026 at budgeted commodity prices. This assumes no additional assets are added to the portfolio. With respect to the CRA audits that are ongoing, as mentioned previously, CRA has been auditing additional years under the various audits, additional reassessments have been issued. All reassessments received to date are highlighted on Slide 12. In our view, these are all normal course, and we believe CRA's reassessments are not supported by Canadian tax law, and we are defending our tax filing positions and we'll continue to do so. Slide 13 summarizes the financial resources available to the Company, when including our credit facilities of $1.1 billion, total available capital at December 31, 2021, is $1.6 billion. And with that, I will pass it over to the operator, and we're happy to take any questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Adam Josephson with KeyBanc. Please go ahead.
Adam Josephson: Sandip, you mentioned you're expecting a slight increase in energy production over the next five years as part of your '26 guidance. Can you talk about just the conversations you're having with U.S. oil and gas companies and whether you sense that there's the impetus and ability to meaningfully change their production plans in the near term and longer term just have been political constraints considerations, supply chain constraints, investors' willingness to set off on large CapEx programs, et cetera?
Jason O’Connell: It's Jason O'Connell here. We're keeping an eye on what's happening with the operators, particularly in the U.S. that are running our shale assets. To date, they have been fairly disciplined in how they're allocating capital into their assets. We've seen, I guess, from the low point in 2020 after commodity prices crash, we've seen a pretty good rebound in drilling rigs drilling rates across our acreage. Despite that fact, operators are under pressure from their shareholders to maintain a fair amount of discipline in how they allocate capital. They're returning capital to the shareholders rather than putting it back in the ground. And so what's set to possibly change is given the large jump in energy prices here. There is some talk and some pressure from the government in the U.S. to increase production. So, we could see a situation here where production volumes increase under the strong price environment that we're seeing right now.
Adam Josephson: Just a follow-up on that. So, what are you -- what is embedded in your five-year guidance along those lines? What impact, if any, do you think that increased governmental pressure to have?
Jason O’Connell: So when we put together our five-year guidance, we sort of take a view on go-forward rig activity levels across our shale assets. So our Canadian assets are fairly and consistent. They're easier to model going forward. The U.S. has what we do is we look at where rig counts were historically, how they sort of bottomed out in and what the trajectory is of that rebound, and we make a go-forward estimate of activity levels going forward, which drives our volumes. Those activity levels are different depending on the base on where the asset is located. Some basins perform -- or are performing stronger than others. The Permian, for example, is outperforming the SCOOP STACK. And so, we have an internal forecast for activity levels across all of those basins, which drive our volume profiles. There is some growth in some of our assets. Some are sort of flat where we expect to see growth is within the Continental joint venture that we have that's expected to grow over time, without any additional spending. And if we do spend part of our additional commitment on top of that, we'd expect even more volume increases with that asset. The other assets have some growth, but it's mostly flat out to 2026.
Adam Josephson: Got it. Paul, you've talked on previous calls about the 80% threshold, under which you wouldn't want your precious metals exposure to go, although I think your comments on the last call were a bit more nuanced. Obviously, your investments in the energy sector and other non-precious metals have been paying off for you. How, if at all, is that influencing your thinking about what the right threshold is and why?
Paul Brink: Thanks, Adam. As always, with our business, our number one priority is adding precious metals to the portfolio. But the industry is more competitive. And so, you're right in saying we were indicating keeping all the avenues open to us in terms of adding good diversified assets if they do come available as well, so that we've got the maximum opportunities to grow the Company. On the energy side, we have indicated, we're not looking to add more assets at this stage. We think the level of contribution is good in the portfolio. In due course, if the portfolio is much bigger, we may get back to adding energy assets. In the short term, obviously, with the constraints on the amount of capital available in that industry, I think energy prices will do particularly well. If we do get a larger contribution from them, I'd say that would be all upside.
Adam Josephson: I appreciate that. And just one follow-up to that, Paul. Is there constraint on, obviously, production growth in many industries these days, not just energy but also metals, of course. So how is that influencing your thinking about which royalties and streams on the metal side, you'd be most interested in doing just when you look at long-term production forecast for copper, gold, silver, you name it, they're all, the expected growth rates were all pretty low for reasons you're well aware of. So can you just walk me through that issue a bit?
Paul Brink: It's a double-edged sword in a lot of senses in that, yes, if there are fewer new mines getting built, it gives us fewer opportunities to acquire new assets. But on the other hand, if you're not building new mines, the only place to get the ore is from existing mines and so you get expansions at brownfield assets. And really, our business is one of the prime beneficiaries of that. And we've got such a deep portfolio if that's where the capital goes, we do tremendously well. So how does that influence? How we think about projects? It obviously puts a premium on operating projects. It puts a premium on shovel-ready and permitted projects, as opposed to things that are longer dated and have more risk.
Adam Josephson: And just lastly, Paul, along those lines, any change in your views on jurisdictional risks in recent months? Just given developments in South America and elsewhere?
Paul Brink: No doubt, particularly post-COVID where governments, we have a real need to address their treasuries that there is more pressure in a number of countries, mostly to increased tax rates. It is a concern. Fortunately, on most of the transactions, they're structured so that we're not directly impacted by those increases in tax rates. So it's -- it has some impact. We certainly think about it when you're thinking about the concentration of assets that we have in any one country. But at the heart of it in our business, we think diversification is such a key thing to minimize risk. Because we've got such a diverse portfolio, we feel that we can take on some risk perhaps that others can't. But if we do it in a modest dollar size, I think that we can add good return and mitigate the risks within the portfolio.
Operator: Your next question comes from Cosmos Chiu with CIBC. Please go ahead.
Cosmos Chiu: Paul, Sandeep and team, maybe my first question is on what's happening in the overseas the war in Russia and Ukraine. Just to confirm, I've gone through your asset hand, but quite a few times. Just to confirm, you have no exposure to Russia. Is that correct?
Paul Brink: We have no direct exposure, Cosmos.
Cosmos Chiu: Okay. And then how about the Eastern Europe?
Paul Brink: Look, we have no assets in Eastern Europe. We have some small assets in Turkey, which is probably the closest.
Cosmos Chiu: Okay. Great. And then maybe switching gears a little bit in terms of oil and gas. As you mentioned, Continental, the relationship here, there's still about $61.6 million to be spent, only about $22 million was spent in 2021, which was surprising to me. I would have thought given the robust sort of energy environment, more money, there's more opportunities out there. Maybe I'm incorrect. Maybe can you talk about the timing in terms of what still needs to be spent, the opportunities? And is there also the opportunity to potentially maybe expand its relationship, just given how well sort of energy prices have gone in 2021 and into 2022?
Jason O’Connell: Thanks, Cosmos. It's Jason. We have -- we have about a little over $91 million left with our commitment with Continental. You're right in that spending has slowed from the initial years. It's largely a consequence of the fact that prices dropped a lot in 2020, although they've rebounded, it's hard in a volatile price environment for buyers and sellers to agree on price. And when things are changing rapidly, it's difficult to agree and do transactions. So the level of spending or the rate of spending slowed in 2021 to around that $22 million level. We'd expect in '22, given the rate of change of commodity prices here, it may be difficult again to meet our eye between buyers and sellers. So I'd expect that rate will likely be similar, but there is some volatility as well. Sometimes the partnership is buying small royalties. Other times, bigger opportunities come available, which could move the dial a little bit more significantly. There is potential to expand the relationship there. As Paul mentioned earlier, we're currently happy with our oil and gas balance. So it's not something we would look to do in the near term, but we do have a great relationship with Continental and think they're great operators. So if ever we would want to increase our oil and gas exposure that could be an option in the future.
Cosmos Chiu: Great. And maybe one last question. Paul, as you mentioned, good organic growth from the portfolio, 10% -- over 10% in the next five years. But as you talked about, the other leg of growth is through acquisitions. You kind of touched on it, but could you talk about the market in terms of new acquisitions. I saw that you did Skeena last year, Copper World, smaller scale last year -- at the end of last year. Are you looking at potentially slightly larger size-- is this still as competitive? Any comments what I think would be helpful, Paul?
Paul Brink: Cosmos, I'm going to hand that question to Eaun.
Eaun Gray: Well, thanks. In terms of the markets, we see a pretty healthy pipeline at the moment, a variety of sizes, potential transactions. And as Paul pointed out, the focus of the team and what we're working on really is focused on precious metals at the moment. We do see good opportunity. And when we have existing assets, we will do smaller transactions like you saw on Rosemont, Eskay Creek assets that we really like.
Operator: Your next question comes from Mike Jalonen with Bank of America. Please go ahead.
Michael Jalonen: Paul and Sandeep and everyone there, just had a question on the 2026 GOE guidance from precious metals. For Candeleria and Antapaccay, is that your full contribution from those assets before the reductions when the minimum hit the threshold of production?
Sandip Rana: Yes. Mike, yes, that's correct. In 2026, we're still under the current terms. And then subsequent to that, I believe, in 2027, Antapaccay steps down and then Candelaria right thereafter.
Michael Jalonen: Okay. I guess I was close to that. So that was my only question.
Operator: Your next question comes from John Tumazos with John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Concerning the timing of deliveries, I noticed that in the first, second and fourth quarters of this year, the gold revenues were between $190 million and $195 -- $196.5 million for the current quarter. But in the third quarter, the gold revenues were only $169.2 million that seems to affect the percentage of precious metals versus other, but was there some underlying project that had a lower grade or the shipment of the gold moved into the -- out of the third quarter into the fourth? Or why was the third quarter so low particularly?
Sandip Rana: To check there, John, but it might have been deliveries from Cobre Panama. But there are times where you do get delays in deliveries, but it shouldn't be overly material quarter-to-quarter.
Operator: [Operator Instructions] Your next question comes from Tanya Jakuskonk with Scotiabank. Please go ahead.
Tanya Jakusconek: I have three. I just wanted to start with sensitivities, if I could to commodity prices. And thank you very much for giving us your commodity price assumptions for your GEOs. Just wanted to start with just Jason, on the last guidance on the energy prices was a 10% move would impact revenues by 13%. Is that still a viable number for us to use?
Jason O’Connell: It's close, Tanya, though as prices go higher, there's less leverage in the portfolio just because the costs are not moving up as quickly. I think about the portfolio in terms of gas and oil separately. Oil is about 50% or so of the revenue, and gas is about 50%. So, on the gas side, we have slightly better than 1:1 leverage, just because there are some minor processing costs that are applicable. On the oil side, the overall leverage right now is about 1.25:1. And that's mostly driven by leverage with the Weyburn NRI. So the Weburn NRI at current prices is -- has leverage of about 1.7:1, which is about -- and that's about 30% of our oil revenue. So to answer your question, on gas, it's about 1.1:1 right now. And on oil, it's about 1.25:1.
Tanya Jakusconek: Okay. That's helpful. And then could we have some guidance on the iron ore. The iron ore prices are quite different for a 10% move in iron ore? Do we have a sensitivity there?
Sandip Rana: Yes. So we did look at it, Tanya. It's basically a 1:1 on the iron ore. And on the gold, it's for a 10% increase. It's about a 12% increase in cash flow, just because of the streams and the leverage there.
Tanya Jakusconek: Okay. And the 1:1 on iron ore, is that revenue?
Sandip Rana: Yes.
Tanya Jakusconek: Perfect. That's great. And then that's my first question with sensitivity. The second one was just coming back to your 2026 guidance. And thank you very much for giving us guidance on the expansions and what you include in the 2026. So we have all of those. Just a couple of ones I wanted to check with you is just what do you look like gold strike should -- is it something similar to what we have in 2021? Or does that start to decline? We have it declining in 2026.
Sandip Rana: Yes. So gold strike, we're sort of looking at it to be pretty consistent going forward. We don't think the production profile will change too much. So, for now, it's -- it's slightly lower, but in general, it's in line with 2021.
Tanya Jakusconek: Okay. And what about gold quarry that go on for a while?
Sandip Rana: Yes. So gold quarry going forward, we are forecasting 1,350 ounces a year. So that's the number that will go on for the next number of years, including 2026.
Tanya Jakusconek: And maybe on Duketon, do we still have production in 2026 in your numbers?
Sandip Rana: We do. I just don't know what the amount is off the top of my head, but we still have production from Duketon.
Tanya Jakusconek: That's helpful. And then maybe just coming back to actions that you're seeing, and we talked about some of them in the last quarter conference call, and you are seeing on the gold side, financing for development assets or projects. You talked about sort of the $100 million to $300 million range. Is that still what you're seeing?
Eaun Gray: Tanya, we're seeing a variety of deal sizes really at the moment, right across the spectrum. So I would be hesitant to give you a size. What I would say is though that you're right, still really focused on precious metals and development projects.
Tanya Jakusconek: Okay. And your non-gold or bulk commodities transactions were up to $500 million in your last call. Is that still what you're seeing? I guess I'm asking, are you seeing larger size transaction in other commodities versus gold?
Paul Brink: I'd say, as Eaun mentioned, a good range of sizes. I don't think a difference between precious metal and diversified now is some in the small, some of the midsize range.
Tanya Jakusconek: Okay. And just to make sure that on the bulk commodity side that you're looking at, your focus is really still base and battery metals?
Paul Brink: No. On the diversified side, it's good deposits. And there's some in the book and the base, but we're always open, just looking for good geology, good often long-dated cash flow if we can. It's more of the assets that were driven by than the particular commodities.
Tanya Jakusconek: I guess I should just ask one last one is uranium is something that you would look at?
Paul Brink: It is. And same criteria, if it's a great ore body and we can get it at what we think is an attractive long-term price, we're always interested.
Tanya Jakusconek: Appreciate the insights. Thank you so much.
Operator: There are no further questions on the phone.
Bonavie Tek: Thank you. There are no questions from the webcast.
Paul Brink: So, operator, I think we can wrap it up then.
Operator: Great. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.
Paul Brink: Thank you.